Operator: Good morning. My name is Ashley, and I will be your conference operator today. At this time, I would like to welcome everyone to the Drive Shack's Second Quarter 2021 Earnings Conference Call. Currently all lines have been placed on mute, to prevent any background noise. After the prepared remarks, we will have a question-and-answer session, instructions will be given at that time. Today's call is being recorded . At this time, I would like to hand the call over to Kelley Buchhorn, Head of Investor Relations. Ms. Buchhorn, you may begin.
Kelley Buchhorn: Thanks, Ashley, and good morning, everyone. I'd like to welcome you to our second quarter earnings call. Joining me today is President and Chief Executive Officer, Hana Khouri; and our Chief Financial Officer, Mike Nichols. We've posted the investor supplement on our Investor Relations website at ir.driveshack.com, and we encourage you to download it now if you've not done so already. I'd like to point out that certain remarks made today will include forward-looking statements. Actual results may differ materially from those considered by these statements. We encourage you to review the disclaimers in our press release and investor supplement and to review the risk factors contained in our annual and quarterly reports filed with the SEC. And with that, I'd like to now turn the call over to Hana.
Hana Khouri: Hi. Good morning, everyone, and thank you for joining our second quarter conference call. Q2 was a fantastic quarter for us, and I'll go through the highlights now on Page 5 of the supplement. First and foremost, obviously, is earnings. We generated $74 million in total company revenue and just over $1 million in positive operating income, which was the first time we've reported operating income in 3 years. We also delivered $7.7 million in total company adjusted EBITDA, our fourth consecutive quarter of positive adjusted EBITDA. On a trailing 12-month basis, we have delivered total company adjusted EBITDA of just over $19 million, which is incredible. Drive Shack venues also surpassed their pre-pandemic EBITDA performance, with Orlando breaking even for the first time since 2019. American Golf also continues to perform well with revenue of around $62 million for the quarter. Next, we've made massive progress on Puttery and are looking forward to opening our first venue just outside of Dallas in the coming weeks, followed closely thereafter by our second Puttery venue in Charlotte, North Carolina. We have five Puttery venues in development right now, those are in Dallas, Charlotte, D.C., Miami and most recently, Houston. An additional two sites are currently in or nearing lease execution with several others actively working in the pipeline. We also executed our formal partnership agreement with Rory McIlroy and his partner group Symphony Ventures where they've committed to invest at least $10 million in Puttery through 2023. We ended the quarter with $81 million of unrestricted cash on hand and have ample liquidity to fund the development of our first seven Puttery venues. So before we go further into where we are today, let's just take a step back to talk about how we got here on Page 6. Over the past few years, Drive Shack has undergone a significant transformation from a traditional golf business to an entertainment operating company. During this time, we sold the majority of our owned course portfolio to fund the growth of our entertainment golf business, namely building the 4 Drive Shack venues we operate today. In April 2018, we opened our first Drive Shack venue in Orlando, which served as our beta site. We then opened 3 Generation 2.0 venues in August, September and October of 2019 in Raleigh, Richmond and West Palm Beach, respectively. These venues opened strong, significantly outperforming our 2019 expectations and beating our internal plans by 14%. Today, our portfolio consists of traditional golf courses, Drive Shack locations and Puttery locations, which is on Page 7. On the American Golf side of our business, we held just under 60 courses across nine states in Q2. We currently have four Drive Shack venues located in Orlando, Raleigh, Richmond and West Palm, and we are additionally committed to leases in New Orleans and Manhattan. With Puttery, as I just mentioned, we are currently committed to venues in Dallas, Charlotte, Washington, D.C., Miami and most recently, Houston. We have a robust pipeline of future Puttery locations we are actively pursuing in prioritized markets across the U.S. for 2021 and beyond, and I'll speak more to our near-term Puttery plans and time line in a few moments. We spoke about Drive Shack venue performance exceeding pre-pandemic levels, which is what we'll talk about now on Page 9. Combined Drive Shack venue level EBITDA was at a record $4.6 million for the quarter, with revenue coming in just slightly below pre-pandemic levels at around $12 million. Drive Shack venues have largely returned to pre-COVID levels with the exception of events. Keep in mind that we shut our venues down due to COVID in March of last year. Because of that, we've also provided Q4 here as a reference, which was the first operating quarter for all 4 venues together. On the next page, Page 10, we've broken down the revenue performance by venue. The strong results we are seeing out of the venues is in part due to record walk-in revenue levels at all four locations. You can see by the chart on Page 10, how incredibly strong the performance was for all of our entertainment venues this quarter. Total revenue was $11.6 million, led by just over $10 million in walk-in revenue. Our walk-in business has returned to normalized pre-COVID levels and our venues delivered all-time highs for walk-in revenue this quarter. In fact, total walk-in revenue was up 26% this quarter compared to pre-COVID levels in Q4 2019 of $8 million. We're seeing strong momentum coming out of COVID lockdown across all 4 venues. Our venues have performed better than expected through the first half of 2021 with all four exceeding the revenue goals for the first half of the year. I do want to point out that we conservatively planned for the first 6 months of 2021, particularly with events given the uncertainty with COVID at the start of the year. We did plan for events to start ramping back up in the back half of the year with more emphasis on Q4 during the holidays. As we've outlined on Page 11, we're beginning to see event demand on the rise. While events totaled $1.5 million or 13% of total venue revenue in Q2, they sequentially increased 85% compared to the $0.8 million in event revenue last quarter, which is Q1. Near-term event bookings are trending above our internal expectations, and we expect this momentum to continue as we head into the back half of 2021. In anticipation of our events business returning, we restructured our sales and events team in Q2 to facilitate the increased event demand we are already experiencing. We continue to innovate initiatives to drive revenue in our venues, you'll see a couple of examples on Page 12 of the deck. We relaunched our popular Monday night social leagues this quarter, which ran for 8 weeks, starting on May 3 with over 100 teams participating across 4 of our venues. Similar to our Drive Shack open tournament, social leagues are a great way to get guests in our door in off-peak weekday nights to increase food and beverage spend on an otherwise slower day as well as encourage return visits after the league ends. Our next social league is planned to commence later in Q3. We also brought back our popular unlimited Bay Play Pass in both Orlando and Richmond. Passes sold for $175 and were capped at $200 per venue. The passes in Orlando sold out quickly, and the response in Richmond was also strong. Again, we are trying to create ways to get guests into our venues on off-peak days to drive increased F&B revenue and to encourage repeat visits. So I'll turn to AGC now, our American Golf, which is the traditional golf arm of our business on Page 13. The demand for traditional golf remains very strong. As I mentioned earlier, AGC delivered $62 million in total company - I'm sorry, in total revenue for this quarter, led by sequential increases in green and cart fee revenue and daily fee round revenue at our public courses when compared to Q1 of this year. On the private side of our business, private course membership levels are near max capacity at 99%, leaving roughly 1% availability for new member sales. Since the onset of COVID, we've seen these levels continue to increase as traditional golf remains a safe outdoor activity. Our American Golf team continues to do a tremendous job in delivering strong results quarter after quarter. We expect to continue delivering great results as our event business begins to slowly return to pre-COVID levels. Turning now to the Puttery. Flipping to Page 15 of the deck. So Puttery is our modern version of indoor putting. We've integrated auto-scoring technology with the game of Mini Golf, while really focusing on providing an immersive and high energy atmosphere with a great food and beverage program. When we look at the projected venue-level economics that we put forward several quarters ago, we remain confident that Puttery was and will continue to be the best path of growth for our company. We expect to spend between $7 million and $11 million to build each venue. We expect them to take about 6 to 9 months to complete, and we expect them to generate EBITDAs of between $2 million and $3 million. When you compare these numbers to Drive Shack venue where we expect to spend up to $40 million to build each venue which takes approximately 18 to 24 months to complete and generates about $4 million to $6 million in EBITDA. We believe Puttery is the obvious choice here. While the numbers for Drive Shack locations are great, Puttery gives us the ability to grow quickly with less capital risk than a big box Drive Shack venue, and Puttery is an adjacency to our current business. The Colony is our first Puttery build just outside of Dallas, and we've learned quite a bit, especially as it relates to creating a new experience during a global pandemic. To be more specific, the expected and anticipated impacts from COVID have been widespread across both the design and construction phases of our builds. In spite of these COVID-related variables, we're pleased to report that we are still projecting development costs to fall within the $7 million to $11 million range. Page 17 gives a great view of our development pipeline. As you can see on the map of the U.S., we've marked our 5 committed Puttery venues in Dallas, Charlotte, D.C., Miami and Houston, along with the robust pipeline of additional Puttery geographic locations we are pursuing prioritized by market. The 5 lease committed locations are currently in various stages of their development life cycle, either in the design phase or in the construction phase. We also have 2 additional sites that are either in or nearing active lease execution. When these two leases are executed, it will bring us to a total of 7 Puttery venues committed in 2021. We've continued to target summer 2021 as the debut for our first Puttery location in the Colony just outside of Dallas, with an opening planned in the coming weeks. The Colony is just over 20,000 square feet, spanning two floors with 4 9-hole uniquely themed golf courses, which are Rooftop, Lodge, Library and Illusion. The details on these courses are designed to immerse our guests into their experience. We focus not only on the design but also on the total guest experience. The food and beverage program has been hugely important to us. And while you'll have to enjoy your food in one of our lounge bar areas, you'll be able to enjoy core specific specialty cocktails on every course. There are three bars located throughout the venue, including an indoor outdoor patio bar on the second floor, which overlooks an outdoor amphitheater in our Colony location. There are also multiple lounges and seating areas throughout. We've shown you a few photos of our Colony venue on Page 18 to 22. Charlotte is also underway with great progress being made on construction. Charlotte's faced many of the same COVID conditions we spoke about earlier, specifically related to supply chain delays and material and labor shortages specific to their market. As such, we slightly adjusted the opening time line and are now targeting a Q4 '21 opening date for Charlotte. Our remaining venues will open over the course of the first half of next year as COVID-driven conditions and labor shortages have also impacted these time lines. With these venues, we will be able to apply all of our learnings from both The Colony and Charlotte to ensure smooth and successful openings. We still have a very active and robust pipeline of potential new Puttery sites, and we still expect that an additional 10 Puttery venues will be open under development or in lease by the end of next year. In order to accomplish this, we'll need around $75 million by the beginning of Q1 2022 to complete this plan as well as to begin construction on our Randall's Island Drive Shack venue. We expect to access the debt capital market and are confident we can obtain the necessary funding to complete our 2022 plan. We are currently pursuing all options and expect we will use our over $200 million of unencumbered entertainment venue assets, which are performing increasingly well to help secure the required funding if needed. It's important to note that $75 million is incremental to the $10 million that Rory and his investment partners have committed to invest in the future development of new Puttery venues between now and the end of 2023. We've provided a summary overview of the agreement with Rory and his team on Page 16 as a reference. And then lastly, in the coming days, we will fully unveil our new site, puttery.com as we near the opening of the colony as it will showcase the full Puttery experience. We have a preview of our website on Page 23 of the supplement. Puttery's website will serve as the information hub for all venues with the reservation system event inquiries, location finder, food and beverage menu, connection to social media and so much more. So with that, I'm going to now turn it over to Mike to go over our financial results in a little more detail, and then I will come back with a few closing remarks. Mike?
Michael Nichols: Thanks, Hana, and good morning, everyone. Before I begin, I want to provide details on the number of courses and venues opened in the second quarter of this year compared to the same period last year. This year, all of our traditional golf courses and our 4 Drive Shack venues were open for the entire second quarter. During the second quarter last year, we were still experiencing COVID closures and restrictions that impacted both of our businesses. For Drive Shack during Q2 2020, our West Palm Beach venue reopened on May 15, Richmond reopened on May 29, Raleigh reopened the last week of the quarter on June 26, and Orlando remained closed. Additionally, only 3 of our traditional golf courses were open for the entire second quarter 2020 with most courses reopening in early May of 2020. Once reopened, restrictions on large group gatherings were still in effect for both Drive Shack and AGC, severely impacting our events business and revenue. With that as a backdrop, I won't be walking through detailed comparisons to last year's second quarter. Turning now to Page 25 in the deck for a summary view of our financial performance for the quarter. On a total company basis, for the second quarter, we generated revenue of $73.9 million, operating income of $1.1 million and adjusted EBITDA of $7.7 million. As Hana mentioned earlier, we reported our first quarterly operating income in 3 years or since Q2 of 2018. We reported our fourth consecutive quarter of positive adjusted EBITDA. And on a trailing 12-month basis, we have delivered total company adjusted EBITDA of $19.1 million. At the business unit level, our entertainment golf segment generated $11.6 million of revenue with walk-in revenue at an all-time high of $10.1 million for the quarter. On the traditional golf side, AGC generated $62.3 million of revenue, including managed course reimbursements of $12.9 million. As I just mentioned, we reported operating income of $1.1 million for the second quarter this year. Our venue level EBITDA was $15.1 million for the quarter, which includes the $4.6 million for entertainment golf mentioned in Hana's earlier comments and traditional golf venue level EBITDA of $10.5 million. We have achieved these results in large part because we continue to exercise expense control discipline throughout the entire company. Our total SG&A and other expenses in Q2 this year were below our pre-pandemic levels and came in at $8.8 million versus $10.4 million in the last quarter before COVID restrictions Q1 2020. While we will leverage our SG&A expense to a great extent as we grow our Puttery business, we are nonetheless planning a modest increase in our annual run rate for SG&A expense dollars of less than 10% to ensure we have adequate resources to support the new business. This will still represent more than 15% of decline versus our pre-COVID SG&A expense run rate. I also want to briefly address liquidity and future capital needs. As of the end of June 2021, we had approximately $81 million of unrestricted cash. As a reminder, we received approximately $54 million of net proceeds from our follow-on common stock offering that settled in February. This cash provides the capital we need to execute our 2021 growth plans for our first 7 Puttery venues. As we look ahead to our capital plans to fund our growth plans for 10 additional Puttery venues in 2022, we currently estimate we will need approximately $75 million to fund this development. We expect to access the debt capital markets later this year in an effort to secure the necessary funding for the first quarter of 2022. Moving on to our summary financial results on Page 26. The net loss applicable to common shareholders for the quarter was $3.4 million or $0.04 per share. For the year-to-date, the net loss to common shareholders is $12.9 million or $0.18 per share. There was an approximate $0.01 benefit in Q2 this year, resulting from the roughly $24 million of additional shares issued earlier this year as part of the follow-on common equity offering that settled in February. Finally, I am pleased to announce the Drive Shack Board declared dividends on the company's preferred stock for the quarterly period ending October 31, 2021. The dividends are payable on November 1, 2021, to holders of record on October 1, 2021. With that, I'll turn it back to Hana for closing remarks.
Hana Khouri: Thanks, Mike. As you can tell, we've been extremely busy this last quarter as we prepare to debut our first Puttery location. The entire organization remains focused on our 2021 strategic priorities to drive growth and profitability with one of the primary objectives being to successfully launch and expand Puttery. I'm very grateful for the collaboration and dedication from the numerous teams and partners that have been involved throughout the last 2-plus years and helped to bring the Puttery vision to life today. Huge thanks to the entire team in the field across our entire organization for making these results possible. Thank you all for joining us today. I'd like to now turn the call back to the operator to open the line for questions.
Operator:  We'll take our first question from Peter Saleh with BTIG.
Peter Saleh: Great. Thank you. Hana, I'm just curious, lately, there's been a lot of concern about the new delta variant. Have you seen any impact in the performance of the Drive Shack units or anywhere else within the business as it relates to the delta variant? Have you seen consumers pull back at all in terms of their spending or enthusiasm?
Hana Khouri: Hey, Pete. It's interesting, we're watching this very closely, I think, as is every business right now. We have not seen a substantial pullback or I would say, even a slight pullback that we can attribute to the Delta variant. In fact, we've seen our venues continue to perform exceptionally well to our internal kind of projections. We have taken steps to make sure that we're protecting our staff and our guests from this new surge. So first and foremost, we're encouraging our associates and our employees to get the vaccine. We want them to believe in the science. We're reimplementing weekly testing in our corporate office. We rolled out a vaccine incentive program in the Colony Puttery location to encourage managers and hourly staff to get the vaccine. We've implemented masking of all associates in all of our venues. And we'll just continue to follow the CDC recommendations, and we'll adjust our standards as necessary. But no, we haven't seen any kind of significant pullback, which has been great.
Peter Saleh: Great. Good to hear. Can you talk a little bit about your commitment to opening the Drive Shack units in New Orleans and in New York given that the development yields there are below Puttery? So just trying to understand how much capital commitment you guys have already invested in those 2 venues. And are those definites? Or is there a possibility that you just move all the capital towards investment in the Pottery instead?
Hana Khouri: Yes. So I think as we've talked about in our previous quarters, we are definitely on hold in New Orleans as of right now, and I can let Mike speak to the capital committed to date there, which is minimal, I believe. So we are going to press forward with our Drive Shack location in Manhattan and Randall's Island. However, that is now slated to open in 2023. There were various COVID delays, specifically in New York, I mean, across the whole U.S., but specifically in New York with state home mandates and other restrictions that have - that really slowed us down last year, but we're still very much committed to working with the city and with that location to get up and running there. We'll also be - we're also attempting, I should say, or planning to put 2 Puttery courses inside of that venue.
Michael Nichols: Yes. There were roughly $6 million of hard costs from a capital standpoint related to New Orleans and some additional development and design costs prior to that invested in New Orleans.
Peter Saleh: Great. Very helpful. Great. And then just my last question, and then I'll pass it along. Can you talk a little bit about the performance of Orlando? I think that was a positive surprise this quarter to hear that you're on track to be or above breakeven. Can you just talk about some of the initiatives you guys put in place? And if you anticipate that you'll be well above breakeven? Or how do you view this venue going forward? Thank you.
Hana Khouri: Yes. Thanks, Pete. We are very, very proud of the results that the team in Orlando has put forward. Obviously, a long time coming. I think it was a combination of things. One, we're really focused on trying to be really innovative in driving revenue in all of our locations, but specifically in Orlando. We partnered with the development group there Tavistock, they've really been helpful in helping us get the word out to the whole community there, but also all the other businesses that they have. We, again, instituted the Bay Play Pass, which sold out in Orlando. We've really managed our expenses. That team there has managed their expenses incredibly well. We because of COVID rightsized the size of that management team and continue to monitor that. I'm happy to say, though, that we're able to actually add back event sales in that venue to help support the event inquiries we have as some of the businesses reopen there. There's a lot of great local corporate businesses that support us there and during COVID, obviously, they were closed. And as they moved to reopen and hopefully resume normalized activities, we are also on the radar for hosting events both in Q3 and in Q4. So we're expecting Orlando to perform well overall this year. And you asked if I'm expecting them to go over breakeven, I think that what I've said in the past, which is what I'll say again today is that we will be very happy if Orlando continues this positive trajectory and breakeven for the year.
Peter Saleh: Great. Thank you very much.
Hana Khouri: Thanks Peter.
Operator: We'll take our last question from Alex Fuhrman with Craig-Hallum Capital Group. Please go ahead, your line is open.
Alex Fuhrman: Great. Thank you very much for taking my question and congratulations on a really strong second quarter performance. I wanted to ask about the development of Puttery. I think we're all excited to see the Dallas location opening over the next couple of weeks. Are there any specific kind of bottlenecks that you've been encountering just development-wise, as you think about the rest of that portfolio? And then kind of going one step further, how has it been hiring for the Puttery in Dallas and the next couple as you start moving down that road?
Hana Khouri: Yes. Alex, good to talk to you. Thanks for the question. I think - great questions. First and foremost, we are really, really excited to debut Puttery. I think we've all been waiting a long time for this. So in the coming weeks, we're super excited to be able to open our doors to kind of show everyone what it's about. We have experienced some COVID related delays. And I think that to be very specific, some of those have had to do with supply chain, material shortages, longer lead times, some modest cost increase on materials, which we've found substitution for general labor shortages. And when I say labor shortages, I'm talking about on the subcontractor side. There definitely is a labor shortage in the hospitality business, but as we were building, we realized very quickly that subcontractors were also experiencing the same thing, which impacted us as well as our time lines. When you do anything for the first time, obviously, you have a lot of learnings. We're very happy that we could take these learnings, and we now have a bit of time to apply them to our future venues. The one - what we're trying to mitigate going forward and what we've already mitigated some of those labor issues, our contracts with our general contractor and some of the requirements that we will be including in those contracts going forward will be slightly modified and slightly different to help guarantee dates as well as penalties for not hitting dates. So there's a few things that we've learned that we weren't able to really institute during COVID just because of the situation that brought to the market. When we talk about hiring, which was the second part of your question and the Colony specifically, we went into the Colony really being prepared for it to be very, very difficult. And I will not say it was easy, but what I will say is, we found that given our marketing efforts and then just given the depth of talent that we have on our management team, we were really able to get a lot of really, really talented employees that we're excited about. We kind of met like a point where we were like, well, we need 7 more, we need 10 more. And at that point, we instituted a referral program that was good for $150 for any associate who recommended someone who stayed for at least 90 days. And that helps us get over the hump. We still are hiring actively just to account for attrition and other variables, but I'm very comfortable with our levels and where we are right now from a hiring perspective. When we look at Charlotte, in the future, we've had no issues hiring our Charlotte management team. So we feel confident there. We plan on implementing a similar approach that we implemented in Dallas and in the colony to hire our hourly staff. So we'll obviously adapt as the times change. I feel like it's a new obstacle every week with COVID and with the labor market. So we'll take it as it comes. But we feel like we're well prepared to deal with it.
Alex Fuhrman: Okay. Terrific. That's great to hear. And then on the traditional golf side of the business, it sounds like you're pretty tight on membership. How does that compare too historically? I mean have you typically had a high 90s percentage of membership build? Just wondering what we could expect to see there in the back half of the year.
Hana Khouri: Yes. Pre-COVID, we did not see membership levels is high. So we definitely saw the membership levels rise with COVID. So I would assume that those 2 things are correlated. While we can't say for sure, the two things happened at identical times. So what we're continuing with now is previously before COVID, we were trying to come up with innovative ways to increase our membership numbers. At this point, we are trying to make sure that we're managing the wait list appropriately that we're setting expectations appropriately and that we're just guiding both our current and prospective members in the right way so that we're able to kind of manage this high member capacity moving forward.
Alex Fuhrman: Great. That's really helpful. Thanks very much.
Hana Khouri: Yes, thank you.
Operator: And there are no further questions. I'll turn the call back over to Kelley Buchhorn for any closing remarks.
Kelley Buchhorn: Thank you, everyone. We'd like to thank you for joining us on the call today. And as always, we look forward to catching up with you next quarter, if not before then. Have a great rest of your day.
Operator: And this does conclude today's program. Thank you for your participation. You may disconnect at any time.